Operator: Thank you and good morning everyone. Here with me today are Neil Blumenthal, Dave Gilboa our Co-Founders and Co-CEOs alongside Steve Miller, Senior Vice President and Chief Financial Officer. Before we begin, we have a couple of reminders. Our earnings release and slide presentation are available on our website at investors.warbyparker.com. During this call, and in our presentation, we will be making comments of a forward-looking nature. Actual results may differ materially from those expressed or implied as a result of various risks and uncertainties. For more information about some of these risks, please review the company's SEC filings, including the section titled “Risk Factors” in the company's latest annual report on Form 10-K. These forward-looking statements are based on information as of November 10, 2022, and except as required by law, we assume no obligation to publicly update or revise our forward-looking statements. Additionally, we will be discussing certain non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for measures of financial performance prepared in accordance with U.S. GAAP. A reconciliation of these items to the most directly comparable U.S. GAAP measure can be found in this morning's press release and our slide deck available on our IR website. And with that I'll pass it over to Neil to kick us off. Neil, please go ahead.
Neil Blumenthal: Welcome and thank you all for joining this morning to discuss Warby Parker’s third quarter 2022 results. I’m pleased to share that in the third quarter we achieved results moderately above the high end of our guidance range. Despite an increasingly difficult and uncertain macro environment we delivered net revenue of approximately $149 million an increase of 8.3% over the same period last year and nearly $3 million above the high end of our revised guidance. We believe this is because of our brand, our value proposition, our omni channel model that continues to resonate with consumers and drive incremental demand even as consumer’s wallets remain pressured. We ended the quarter with 2.26 million active customers, an increase of 5.1% versus last year as we continue to gain share of the $44 billion vision care market and the nearly 200 million adults in the U.S. using some form of vision correction. Equally important as we expand our product and service offering customers are spending more with us than ever. Average revenue per customer increased nearly 7% year-over-year, reaching a new high of $258 in the third quarter. From a channel perspective, we saw a slight uptick in our retail performance as the third quarter progressed. Store productivity as a percent of our 2019 base level was 82% for Q3, which was ahead of our projection, and we saw incremental monthly gains throughout the quarter exiting September with productivity at approximately 85% of 2019 levels. Our e-commerce growth moderated versus the first half of the year, but it's still up 19% on a three year CAGR basis. We view this positively given our intentional pullback and marketing spend, which was down 26% year-over-year, as well as the softness we've observed in the overall online eyewear market. The combination of a stronger top line, the actions we took to right size, our corporate cost structure to align with a slower growth environment and reducing our marketing expense percentage to pre pandemic levels resulted in improvement and adjusted EBITDA year-over-year. Our focus has always been on driving profitable growth. We're pleased to have generated $11.9 million in adjusted EBITDA, which is up 6% from last year and ahead of our most recent guidance. We are proud to deliver these results even as we face some gross margin headwinds from the fixed portion of our COGS due to long-term investments, namely the expansion of our store fleet and our optometric team. While we are encouraged with our results this quarter, we're maintaining a cautious view of the near-term. Industry wide demand softness driven by lingering pandemic effects inflation and shifts in how consumers are spending their money and time continue to disrupt the normally steady and predictable shopping behavior in our category. We continue to believe in the resilience of and the long term growth outlook for the optical industry and expect these headwinds to be temporary. We also continue to believe in our more than 3000 incredible team members who in the face of volatility continue to embrace flexibility, delight customers drive innovation and create impact. Until a demand and recovery materializes, we’ll remain focused on what is in our control, driving increased operating leverage through diligent expense management and smart investments and future growth. The opportunity for Warby Parker within the $44 billion vision care market remains tremendous. And we're confident that continuous focus and execution against our strategies will position us well for sustainable long-term growth. Steve will walk through the specifics of our guidance in a moment. But we are raising our projected full year revenue range to $590 million to $596 million. We're also raising the low end of our previous full year adjusted EBITDA range by $3 million and the high end by $1 million. So we now expect adjusted EBITDA for the year to be between $25 million to $27 million. And with that, I'll turn it over to Dave to walk through the progress we've made against our primary growth drivers this quarter.
Dave Gilboa: Thanks, Neil. I'm excited to share the progress we made in Q3 against each of our long term strategic initiatives. The investments we have made over the last few years to expand our unique omni channel and holistic eye care offering are resulting in enhanced customer experiences and improved customer economics, which in turn, have positioned us to continue to take market share and set us up for future scale and profitability. By making our channels more accessible and by expanding our range of products and services, we are able to better serve both new and returning customers. Evidence of this is best reflected in our average revenue per customer, which as Neil mentioned increased to a record high $258 in Q3 up 7% year-over-year. Importantly, the primary driver of this increase was not due to price increases, but rather due to a higher percentage of customers purchasing multiple products. from customers opting in to higher price point offerings like progressive and annual supplies of contacts. We continue to believe that our unique value proposition will hold up well in a challenging economy, as consumers are more conscious about where to spend their dollars. Now we'll talk through each of our four primary growth strategy starting with scaling our omni channel presence. In Q3, we opened 13 new stores and remain on track to open 40 stores by year end. Despite continuing to operate in an environment with lower retail traffic, our stores are generating $2.1 million in revenue on average, on an annualized basis, with four wall margins in line with our historical target of 35%. This performance is consistent across our fleet, including the cohort of stores opened in 2021. The stores on average remain on track to pay back within our target of 20 months. We also continue to enhance our e-commerce experience. Just last week, we launched our award winning virtual try-on tool within our browser shopping experiences, making it easier than ever for customers to see how they look in our various styles. Previously, our virtual try-on was only available in our iOS app. It has been a significant driver of engagement and sales. We are excited to now offer this technology to all of our e-commerce shoppers across platforms. Second, we continue to expand our core glasses business. In addition to launching our fall core 22 collections, we also introduced two collaborations this quarter, one with menswear brand Noah, founded by former supreme creative director Brendon Babenzien, and another with actress Chloë Sevigny. Collaborations like these are great opportunities for us to introduce our brand and product to new customers while delivering something fresh and unexpected to our existing customer base. We also continue to launch innovative new constructions based on customer feedback, like our first ever performance lifestyle collection launched in July. Made in Japan, these eyeglasses and sunglasses feature top of the line performance minded elements including extra durable hinges, soft rubber pads for added grip, and ultra-lightweight TR 90 nylon. This was also our first collection launch priced at $175. This quarter, we also expanded our prescription range, meaning more glasses wearers can fill their prescriptions with us than ever before. And finally progressives, which are our highest price point and highest gross margin category continue to grow as a percentage of total glasses sales. [Indiscernible] we're building our contacts business. Contacts continue to scale growing nearly 50% year-over-year, and increasing from 5% of our business in Q3 2021 to 7% in Q3 2022. As a reminder, contact lenses typically account for 15% to 20% of sales of typical optical retailer. In contacts, customers are some of our highest value customers given the replenishment nature of contacts and the propensity of these customers to go on to purchase glasses. Fourth, we're investing in our eye exam business. This quarter we added a total of 14 exam rooms to our retail fleet, 12 within new stores and two within existing stores. As of September 30, 139 of our stores or 73% offered exams, and we remain on track to provide this service in more than 150 stores by year end. To serve our patients in those rooms, we continue to hire and retain incredibly talented optometrists. You'll recall that last quarter we completed our annual goal of converting 40 stores to our PC model. This quarter, we converted an additional seven existing stores and added eight new stores to the PC model, giving us greater control over the customer experience and enabling us to recognize exam revenue. We're also continuing to pilot new and innovative technologies that will allow us to make our telehealth and in person eye exam experiences more convenient, more affordable and more differentiated within the market. This includes rolling out services like retinal imaging, which gives our optometrist a closer look at a patient's eye to detect early signs of eye disease. At pilot locations, Warby Parker patients can now add retinal imaging onto their eye exams for an additional charge. We hope to roll this service out to more locations in the coming quarters. In addition to innovative services, we're also introducing ground breaking products like my sight contacts, which are the first soft contacts on the market, proven to slow the progression of myopia in children aged 8 to 12 at the initiation of treatment. Myopia is the medical term for near sightedness, and 50% of the global population is expected to have myopia by 2050, slowing the progression of myopia by just one diopter or power level in children reduces the risks of visual impairment and eye complications such as glaucoma by 20%. Doctors must be certified in order to prescribe my sight contacts and we're proud to share that more than 90 of our doctors are already certified. We look forward to continuing to add innovative products and services like these to help our customers see. To help pay for those products and services, we're also making good progress in enabling consumers to visit insurance benefits shop with us. As a reminder, Warby Parker is currently in network with United Healthcare Vision Insurance members as well as through Davis vision through select employers. We announced earlier this year that we became an in network option for members of the Blue Cross Blue Shield federal employee program. And in Q3, we became an in network option for over 2 million members with CareFirst Blue Cross Blue Shield serving Maryland, the District of Columbia in Northern Virginia, and Guardian Vision with the Davis vision network insurance plans. In total, Warby Parker is now in network with over 16 million live. In addition to our growing base of in-network customers, a meaningful portion of our customer use their out of network benefits to pay for our glasses, exams and contacts often pay $0 out of pocket for their purchases of eyeglasses. We are investing in a number of ways to make it even easier for these customers to use their existing benefits with us. This quarter, we rolled out additional messaging on how vision insurance works at Warby Parker, and to help customers understand that often using out of network benefits with us is less expensive than shopping elsewhere within the market. According to vision council when using vision insurance, consumers on average spend $220 or more out of pocket on a pair of eyeglasses, which is significantly higher than in our glasses ASP. Overall, we’re pleased with our continued progress against our long-term strategic growth initiatives, which will enable us to deliver on our mission to provide vision for all. We're thrilled that after years of COVID related challenges, all of our buy a pair give a pair partners have resumed operations globally, and are on track to surpass their distribution targets for 2022, enabling us to impact millions of people's lives this year. We continue to navigate the macro economic challenges in front of us and believe we will manage through this period of high inflation and a pressure to consumer much in the way we managed and emerge from the pandemic as a stronger company. I'd like to thank our incredible team for their hard work and effort day in and day out. Their determination and dedication allow us to consistently persevere through dynamic environments. And we look forward to continued success as we approach the holiday season in year-end. And now I'll pass it over to Steve.
Steve Miller: Thanks, Neil and Dave. Good morning, everyone. We're pleased to report Q3 results ahead of expectations for both top line and bottom line, despite the difficult macroeconomic backdrop in which we continue to operate. We intend to stay laser focused on expense management and driving incremental profitability while making smart investments to strengthen the customer experience and support the long term growth of the business. I'd like to walk you through our Q3 2022 results starting with revenue. Revenue for the quarter came in at $148.8 million, up 8.3% year-over-year and above our guidance range of $143 million to $146 million. On a three year CAGR basis versus the third quarter of 2019, revenue increased 16.2%. At a high level we saw store [ph] productivity come in at 82% when compared to the same period in 2019 moderately above the high end of 80% we were projecting which we shared on our last earnings call. This was partially offset by our e-commerce three year CAGR coming in at 19%, which was moderately lower than the high case projection of 21% we provided on our Q2 call. We've finished the quarter with 2.26 million active customers, an increase of 5% versus the same period a year ago, and our average revenue per customer increased 7% year-over-year to $258. This continued scaling and average revenue per customer reflects our ability to provide more value to our customers as we continue to expand our product and service set. As a reminder, both active customers and average revenue per customer are measured on a trailing 12-month basis. Our growth in top line and average revenue per customer for the quarter was driven by a number of factors including an increase in orders from our active customer base, as well as an increase in average order value driven primarily by selling a higher mix of glasses with progressive lenses which have a highest average selling price. Our Progressive lens product represented 21% of total prescription glasses sold in Q3 2022, up from 20% when compared to the third quarter of 2021. This is still well below the market average of 45%, leaving a substantial runway for further ARV and gross margin leverage that we expect to realize from scaling our progressive business. Looking at our business by channel, store productivity, as mentioned came in at 82% of 2019 levels in the third quarter. This was above the trend we observed in August when we provided updated guidance for Q3 and the full year. At that time, we observed consistent retail productivity of approximately 80% of 2019 store levels. We are pleased with the incremental improvement in retail productivity we experienced during the second half of the third quarter, and are encouraged that we exited September with productivity at approximately 85% of 2019 levels. As discussed, business performance this year has been affected by a range of factors, including a pullback in consumer spend on durable goods, and a meaningful reduction in marketing spend as we focus on profitability. Despite these factors, the unit economics of our stores remain strong. As of Q3 2022, we had 150 stores open for 12 months or more. As Dave mentioned, these stores generated on average $2.1 million in annualized revenue, and generated for wall margins in line with our target of 35%. We've achieved these results by driving increased conversion rates and AOV in store and through managing team schedules to match lower top line to drive profitability. The strong performance is consistent across our store fleet. We continue to see a healthy three year trend for our e-commerce business. Our e-commerce three year CAGR in Q3 was 19.2% moderately lower than the 21% we shared as the high end of our guidance on our Q2 earnings call, which was the growth we had been observing as we exited Q2 and started Q3. We maintained a consistent e-commerce growth profile, despite dropping marketing spend by 26% year-over-year, from $20 million to $15 million and from 14% of revenue in Q3 last year to 10% of revenue in Q3 this year. On a year-over-year basis, we saw ecommerce down 6% year-over-year in Q3 2022 versus Q3 of last year. From a business mix perspective, for the third quarter, e-commerce represented 37% of our overall business, in line with pre pandemic levels. This compares to 42% in Q3, 2021 and 34% in Q3 2019. Moving on to gross margin, as we have done on each call before we dive into details on gross margin performance, I would like to remind everyone that our gross margin is fully loaded and accounts for a range of costs including frames, lenses, optical labs, customer shipping, optometrists, salaries store rent, and the depreciation of store build outs. Our gross margin also includes stock-based compensation expense for our optometrists and optical lab employees. As a reminder, and as we talked about, on our last call, approximately 60% of our COGS are variable while 40% or more fixed in nature. In general, we've been pleased with the stability we have seen in the input costs of our products, as we have thoughtfully managed expenses throughout our supply chain, including frames, lenses and shipping costs. For comparability, I will be speaking to gross margin excluding stock-based compensation. Adjusted gross margin in Q3 2022 came in at 56.9% compared to 58.7% in Q3 2021. The primary driver of the decrease in gross margin was the continued growth in contact lenses from 5% in Q3 2021 to 7% in Q3 2022 as a percentage of our total business. Expanding our contacts offering is a core part of scaling our holistic vision care offering and a key driver of increasing average revenue per customer. While contact lenses have a lower gross margin percent versus our other product offerings, they are accretive to gross margin dollars, given their higher purchase frequency and subscription like purchase cycle. As a reminder, contact lenses represent the $5.5 billion market and contact lenses account for anywhere from 15% to 20% of a typical optical retailers sales. Next, we saw a year-over-year deleveraging gross margin in two areas which represent the more fixed portion of our cost of goods. These fixed elements of our COGS stack or retail occupancy and optometrist salaries which generally remain the same regardless of revenue. We added 36 net new stores over the course of the last 12 months, going from 154 stores as of September 30, 2021 to 190 stores as of September 30, 2022, or an increase in our store base of 23% year-over-year, which naturally leads to an increase in store rents, and depreciation from store build outs. There's 23% increase in store count compares to total company revenue of 8% and retail revenue growth of 19% over the same period. We also saw downward pressure on gross margin year-over-year from an increase in overall optometry salaries as we hired optometrist for our new stores, and significantly expanded the rollout of our professional corporation or PC model. As of the end of Q3 2022, we operated with 107 stores, where we engage directly with an optometrist and therefore recognize both revenue from exams and optometrist salaries, these are 107 stores compared to 41 stores at the end of Q3 2021. The majority of our 57 PC model stores are ones where we are converting an existing store with an independent doctor relationship to the PC model, and therefore, we had already been recognizing a significant portion of product conversion sales at our stores from the independent doctor. As we convert these stores to the PC model, we expect the near term margin headwind, given the gross margins on the exam service alone are lower than our glasses and contacts gross margin. We expect that our investment in eye exam capabilities installer will benefit us in the long-term as it gives us greater control over the customer experience, enables us to recognize exam revenue and results in higher conversion rates from eye exam to product purchase. Two main factors continue to drive gross margin leverage. Firstly, we continue to scale our progressive business which is our highest priced and highest gross margin offering and approximately 21% of our prescription business, which is up from 20% a year ago, progressives account for less than half the industry average of 45%. Secondly, we continue to scale the portion of prescription glasses orders that we Insource at our two owned optical Labs in New York and Nevada. As discussed, there are many benefits we see from insourced orders at our labs, including higher NPS, lower refund rates, faster turnaround time and improved gross margin. We've previously indicated that our optical labs account for 50% plus of our prescription orders, we saw an increase by over 10 percentage points of optical lab jobs insourced at our two optical labs in Q3 of this year versus Q3 of last year. Next I would like to talk about SG&A expenses. Adjusted SG&A for Q3 2022 came in at $82.2 million or 55.2% of revenue. This compares to Q3 2021, adjusted SG&A of $75 million or 54.6% of revenue, an increase of approximately 60 basis points of revenue year-over-year. In terms of year-over-year dollar growth, adjusted SG&A was up 9.6% year-over-year compared to Q3 2021. As a reminder, SG&A for our business includes three main components, salary expense, covering our headquarters customer experience and retail employees marketing spend, including our home try-on program, and general corporate overhead expenses. Adjusted SG&A excludes non-cash costs like stock-based compensation expense, and also excludes one-time costs like those associated with our direct listing. The primary driver of the increase in adjusted SG&A as a percentage of revenue year-over-year was related to an increase in corporate overhead expenses. This increase was largely concentrated in two main areas, public company costs and investments in our technology, infrastructure. On public company costs, we noted in Q2, these represented approximately $2.5 million in the quarter. In Q3, we incurred approximately the same level of costs related to operating as a public company, which we did not incur a year ago. We expect to start leveraging public company costs in the fourth quarter as we begin comparing to a period in the prior year when we were a public company. We also continued to invest in a number of key technology initiatives to enhance customer facing platforms like our internally built point of sale solution for our stores and virtual Try-on technology for our app and website. Salary expense within our SG&A category includes wages and benefits for our headquarters customer experience and retail employees. As a reminder, salary expense for our eye doctors and optical lab employees are all included in our cost of sales. We continue to optimize retail salary expense as a percent of revenue as we schedule time for our retail and customer service teams and anticipate further consistency in these expenses to the remainder of this year. With respect to our non-retail salary expense, as we announced in August, we took the difficult but the necessary step to align our cost structure with the current environment and reduced our full time corporate team by 63 people or approximately 15%. This action along with reductions in certain G&A spend, also realized in Q3 are on track to generate $8 million to $9 million in savings this year and $15 million to $18 million in savings next year. As previously outlined, we've made and expect to continue to make changes to marketing spend levels to optimize to the current demand environment. Marketing spend for the quarter came in at $15 million or 10% of revenue. This was down sequentially from $21 million and 14% of revenue in Q2 of this year, and also down from $20 million and 14.5% of revenue when compared to Q3 of last year. Marketing spend in Q3 was 26% lower year-over-year, which compares to revenue growth of 8.3% year-over-year over the same period. Since Q1, we've reduced marketing spend by nearly 10 points and expect it to remain in the low double digits going forward. For the third quarter of 2022, we generated adjusted EBITDA of $11.9 million representing an adjusted EBITDA margin of 8% which compares to adjusted EBITDA of $11.2 million or 8.1% of revenue in the year ago period. This also compares to 4% adjusted EBITDA margin on a sequential basis versus Q2 of this year. The actions we took to adjust our marketing expense and corporate cost structure combined with higher than expected revenue this quarter, drove our adjusted EBITDA margin 150 basis points above the high end of our guidance range. We finished the quarter with a strong balance sheet reflecting $198 million in cash and cash equivalents, which will continue to deploy deliberately to support our growth and operations. We also increased our credit facility with Comerica Bank from $50 million to $100 million with an ability to further upsize the facility to $175 million. We have no plans as of now to draw down on this facility, but are pleased to add increased options for liquidity to our capital structure. Before sharing guidance for Q4 and the full year, we wanted to provide a reminder on the seasonality our business has historically observed in Q4. As it relates to top line, we observed moderately higher seasonal demand during the month of December due to the holiday buying and customer usage of health and flexible spending benefits. This demand is most concentrated in the final week of the year. Given that we recognized revenue from delivery of product to the customer, we recognized revenue in Q1 for a significant portion of orders placed in the final week of the year. And we typically see a meaningful step up in sequential revenue growth from Q4 of the current year to Q1 of the following year as you can see from our earnings slides. From a bottom line perspective, Q4 is generally our lowest margin quarter as we make several investments to support the important holiday selling season. These investments include, marketing to support and generate customer demand, investments and shipping as we expedite orders to meet holiday timing, increased store staffing to accommodate higher traffic and extended store hours and increased customer experience staffing to support higher demand as well as elevated call volume related to Flexible Spending benefit questions. We expect the pattern of adjusted EBITDA to look different this year than past years as I'll explain further in just a moment, with Q1 2022 our lowest EBITDA quarter due to the impact of Omicron. Based on our third quarter performance and current view of the fourth quarter, we have moderately raising our full year outlook. We're increasing our 2022 revenue Outlook to a range of $590 million to 596 million from a range of $585 million to $595 million. This represents a full year revenue growth of 9.1% to 10.2% over 2021 up from our prior guidance of up 8% to 10%. For adjusted EBITDA we are raising the low end of our prior range and moderately increasing the high end of our range and now expect adjusted EBITDA between $25 million to $27 million compared with prior guidance of $22 million to $26 million. Adjusted EBITDA margins for the year are now projected to be 4.2% to 4.5%, compared with prior guidance of 3.8% to 4.4%. Lastly, as we mentioned in our last call, we expect gross margin of approximately 57% for the full year. We have seen continued faster than anticipated growth in our contact lens business which we view as a positive, as contact lenses have lower margins. This will continue to have a de levering effect on gross margin. Roughly 40% of our COGS are fixed in nature, the majority of which are made up of store rent, store depreciation and eye doctor salaries. We expect that these investments in our store fleet and optometry will continue to have a de levering effect on gross margins in the short to medium term, as eye exam offerings ramp and as store and e-commerce growth return to higher levels. We plan to see continued gross margin leverage from scaling high margin products like progressives, and through serving customers from our own optical labs. For Q4 2022, this full year guidance implies revenue of $138.2 million to $144.5 million, an increase of 49% year-over-year and adjusted EBITDA of $6.2 million to $8.4 million and adjusted EBITDA margin of 4.5% to 5.8%. While we are encouraged with the improved trends in store productivity in September, and the fourth quarter to date, we believe it is prudent to maintain a cautious view heading into the holiday season given the importance of December to our fourth quarter and the various macroeconomic factors affecting consumer spending. For Q4 top line, we're projecting store productivity to run at the mid 80% level versus 2019 and are projecting our three year e-commerce CAGR in the high teens, both consistent with recent trends. We want to reiterate that the quarterly pattern of adjusted EBITDA this year will look different from previous years. Historically, we have seen adjusted EBITDA strong in Q1 with positivity continuing in Q2 and Q3 and then a decline as we ramp spend for Q4 and the first sales we generate from Q4 into the following year. This year, we expect that Q3 will be our strongest quarter of adjusted EBITDA followed by Q4 as we remain focused on maintaining cost discipline, and driving incremental profitability. For adjusted EBITDA as a reminder, in H1 of this year, we generated adjusted EBITDA of $6.7 million and adjusted EBITDA margin of 2.2%. In Q3, we were pleased to see a step up in adjusted EBITDA margin to 8% of revenue. At the high end of our updated range for adjusted EBITDA in Q4, we're projecting adjusted EBITDA of $8.4 million or 5.8% of revenue, which translates to H2 adjusted EBITDA of $20.3 million or 6.9% of revenue. This implies a 470 basis point improvement in adjusted EBITDA from H1 to H2 on revenue that is roughly $10 million lower than H1. Finally, and as a reminder with respect to our outlook for 2022, we are forecasting stock based compensation as a percentage of net revenue to be in the mid-teens compared with 20% in 2021. Stock-based compensation for both years is above our long term forecast of low single digits starting in 2024, as the result of RSU expense associated with our direct listing, and multiyear equity grants to our CO CEOs in 2021, the majority of which is performance based and best based on stock price targets from 47.75 to 103.46. We'll provide formal guidance for 2023 and on our Q4 call in March of next year. The economy continues to be both dynamic and unpredictable. And we'll continue to update our perspective on scenarios for next year as trends affecting the economy, the consumer and the optical industry continue to evolve. As it relates to adjusted EBITDA in particular, we remain focused on realizing incremental profitability of at least 100 to 200 basis points per year. For 2023 the baseline from which we expect to expand adjusted EBITDA margins next year is our H2 2022 EBITDA margin, which we are guiding to be between 6.3% and 6.9% of revenue in H2 of this year. We expect that roughly half of this improvement will come from marketing spend normalizing in the low double digits as a percent of revenue and the other half from realizing a full year of corporate overhead savings related to salaries and general operating expenses. We look forward to providing more specific guidance and commentary at our Q4 earnings call in early 2023 as we finish this year and gain incremental visibility into next year. Thank you again for joining today's call. We continue to focus on the things we can control in this challenging macroeconomic environment. With our expense base now optimized for current levels of demand, we feel good about our ability to profitably increase our market share and position ourselves to accelerate growth once operating conditions improve. With that, we'll open up the line for Q&A.
Operator: Thank you. Our first question today comes from Ed Yruma from Piper Sandler. Ed, your line is open. Please go ahead.
Edward Yruma: Hi, good morning. Thanks for taking the questions. I guess first, I actually happy to note that my 10-year old had her first eye exam and glasses that were being great experience. I guess just thinking about your model.
Neil Blumenthal: Amazing.
Edward Yruma: Thanks. First, on the PC model, help us understand the leverage points. Obviously, I know you've got a deleverage in the near term, just as you have, obviously continue to ramp but as you think about that longer term, I guess how does that change the economics of the box, both of the higher penetration of contacts and progressives? And then I guess as a follow up, I know you don't want to provide next year's guidance yet, but how should we think about some of the changes you've affected? And you've obviously given a different rhythm for adjusted EBITDA this year. Is the 4Q to 1Q going to be a fairly similar in a kind of progression, as we've seen in years past understanding that I know with Flex spending, that kind of maybe straddles both quarters. Thank you.
Neil Blumenthal: Thanks, Ed. So maybe we'll start with the last part of your question is that we do anticipate that some of the irregularities that we saw during the pandemic should hopefully be coming to a close, and that Q4 and Q1 and the rest of 2023 should revert to typical patterns where we do see accelerated spend, and customer behavior at the end of Q4, particularly those last days of December between Christmas and New Year's. And, as a reminder, we recognize revenue once customers receive their glasses. So orders placed in those final days of the year, it gets recognized as revenue in January. And we do anticipate that people will return to their sort of normal habits of lots of eye exams, as they are seeking other medical treatment right at the, at the beginning of the year. We did start to see a more normalized back-to-school behavior this year, which was promising. So we do anticipate next year, certainly quarter-by-quarter to be more in line with sort of pre pandemic behavior.
Dave Gilboa: And, and just adding on to that we have a slide in our earnings slides in the back, which has an EBITDA, adjusted EBITDA reconciliation back to 2016. So you can have all of the back data to see the patterns of EBITDA that we saw pre pandemic. Most recently, I would look to the pattern that we saw in 2021 as a reference point, with good profitability the first three quarters of the year, and then lower profitability in Q4 as we spend into holiday and FSA demand will provide a lot more visibility on our Q4 call in March.
Neil Blumenthal: And into your first question about leverage in our model. Over the course of the last several months, we have been in an investment period as we convert more of our stores and doctors to the PC model, as we invest in our nascent contact lens business. And so we're adding to our exam and contacts, investments in a period where there is overall there are headwinds on demand in our category and they're signs of that across kind of all data points. And so as we start to see demand recover in the category as we start to see traffic overall, recover into our stores. The increased shopping behaviors spread across that store fleet will allow us to reignite the leverage that we have in the fixed nature, of some of our cost base.
Edward Yruma: Thank you.
Operator: Thank you. Our next question is from Oliver Chen from Cowen. Oliver, your line is open. Please go ahead.
Unidentified Analyst: Hi, there. This is Katie on for Oliver. Thanks so much for taking our question. And great, great quarter guys. I guess our first question is kind of on sort of what you're seeing in terms of customer health, is there any sort of promotional pressure, whether it's in the glasses segment or contact segment that you're seeing? And sort of how do you think that might translate into the holiday season? And sort of what are your expectations around there? And then our second question is more on how traffic progressed through the quarter? And does that correlate pretty well with the productivity? Or was it productivity, more hinging on the actual sales product and exams? Thank you.
Dave Gilboa: Thanks for the questions. On the traffic front, we saw that progress in line with productivity. So we saw kind of moderate increases throughout the quarter, which was encouraging. And then, on the promotional front, we currently have two offers for our customers, but they're not really designed as blanket discounts on our products, but are really designed to encourage customers to purchase multiple products with us. And so the first is a $50 credit for customers who purchase an annual supply of contacts with us. And then they can use that credit to purchase a pair of prescription glasses. And as our contacts business is new, the percentage of our customers who are buying annual supplies is still relatively low. And so this is an opportunity for us to encourage people to increase their basket size. But also to think about cross shopping for glasses as well, we find that customers who buy contacts and glasses from us tend to be some of our most valuable customers. We also have an offer, add a pair and save where customers who purchase multiple prescription glasses from us get 15% off their order. Glasses are most of our customers have not thought about buying multiple pairs of prescription glasses in the past because they cost several hundred dollars at most other places. And so this is really designed for, for people to think about purchasing glasses and thinking of them as an accessory. This is an offer that we actually first introduced in 2020. And we found that customers who took advantage of that offer ended up then coming back and buying additional pairs more frequently since then. And so we're not attracting kind of bargain hunters who are just looking for the best deal and then not coming back to the brand. But we're finding that these types of offers are encouraging people to buy more products. And then those customers end up becoming more loyal and make more subsequent purchases. And going forward, we don't anticipate additional promotional activity through the holiday or the end of the year.
Unidentified Analyst: Thank you.
Neil Blumenthal: And just adding a few comments onto what Dave just described. In terms of retail productivity and some of the increases that we've seen quarter-over-quarter, so we exited Q2 at approximately 80% store productivity versus 2019 levels. We're now running at roughly 85%. And most of that increase is really driven by increased conversion and increased AOV as opposed to increase traffic at stores. And to provide a little bit of additional color what we've seen across our store bases has come up on a few earnings calls is just the difference in productivity levels we continue to see between suburban stores and urban stores. It's approximately running at a 10 point difference, where suburban stores are at roughly 90% of 2019 levels. And urban stores are at 80% of 2019 levels. So just wanted to round out with a few additional points of color that help understand what's happening as it relates to store productivity.
Unidentified Analyst: That's very helpful. Thank you.
Operator: Thank you. Our next question is from Paul Lejuez from CITI. Your line is open. Please go ahead.
Brandon Cheatham: Hey everyone this is Brandon Cheatham on for Paul. So I just kind of want to talk about kind of your active customer count. Seems like that's, somewhat plateaued despite, store openings. So I was wondering, how do you all think about, your active customer count versus store openings going forward? If it continues to lag your store opening cadence, like, would you consider pulling back on store openings, or rethink the speed at which you're opening stores?
Dave Gilboa: Thanks for the question. What we see is we are operating in an environment where, for the first time and a very long time, the optical industry, right, it's not as predictable, and is based on the data that we're seeing is actually declining. So the fact that right, we're growing these, we're gaining market share, but in this environment, it has been more challenging to engage newer customers, right, as traffic to stores has been lower than typical. One of the things that we also did in Q3, right, is that we deliberately and intentionally pulled back marketing spend, given what we were seeing sort of in the industry. Now that resulted in lower COGS, right, our COGS are down 50%, from q1. And as we approach Q4, we do expect sort of marketing spend to normalize and the low double digits are similar to sort of pre pandemic levels. And we expect that to sort of accelerate customer growth. But in general, right, our stores continue to have high ROIC, we our, our new stores are in performing in line with older stores, and are paying back within 20 months. So as long as we're able to get that return on that capital, and also have for wall margins, or have our target of 35% plus, and then we'll continue to open up stores.
Brandon Cheatham: Got it. Thanks. And one follow up if I can, thanks for sharing, you have 60 million lives covered under insurance. What do you think the opportunity could be there? Is there any difference in shopping behavior between customers that are in network versus shopping you out in network? Thanks guys.
Neil Blumenthal: Yes, we continue to be excited about opportunities to make it even easier for people to use their existing insurance benefits with us, we will continue to add to that 16 million life total. We're also pursuing opportunities to directly integrate with out of network options so people can look up their eligibility and reimbursement. I had to making a purchase and making that as seamless as possible. In general, we, we haven't found major differences in kind of our insurance customers and non-insurance customers. As a reminder, our average median household income for our customer base is over $100,000. The majority of our customers do have vision insurance. Whether we're in network option, or not, tends not to be the primary driver of whether they're purchasing with us or not. And as we cited, people who have visited insurance and use those in network benefits, are spending over $220 out of pocket. So more than they'd spend out of pocket coming to us for similar products. And so we haven't seen insurance be a barrier to customer purchasing from us, but we're always looking to make things even easier for our customer base.
Brandon Cheatham: Appreciate it. Thanks. Good luck.
Operator: Thank you. In the interest of time, our last question today comes from Dana Telsey from Telsey Advisory Group. Dana, your line is open. Please go ahead.
Dana Telsey: Good morning, everyone. Nice to see the progress. Given last year's impact of Omicron at the end of the year, impacting the FSA spend. Can you expand on the opportunity to maximize the revenue this year from this end of year time period and potentially into January? Do you look at it more like it could be 2019, or is there anything we should be watching for that that you're doing? And also nice to see the update on the retail productivity, which is even increasing? How do you think of that balancing act of the online revenue versus the store the store revenue, and how you're planning going forward? Thank you.
Dave Gilboa: Thanks, Dana. Yes, just on the on the first topic, we're certainly hope, hoping that this holiday season looks more like 2019. And then last year, and barring another pandemic surge or some unexpected event, we are expecting shopping trends, to look more similar to, to pre pandemic patterns. And then certainly what we've seen over the last couple years and given the depressed activity we saw last year, we are expecting kind of a nice, a nice bump on a on a yearly basis on that front.
Neil Blumenthal: And as we just think about retail productivity, it was sort of nice to see that expand throughout the quarter, right. We came into the quarter, about 80% of 2019 levels exited at 85% for sort of an average of 82%. So feel like we have strong momentum going into Q4. On the e-commerce front, we continue to sort of invest in sort of new phase features that delight customers, as they've mentioned. Right, we now offer virtual Try-on on our browser, we were the first to launch a true to scale, virtual Try-on. And we'll continue to sort of launch new features. In general, what we've observed market wide, is that sort of online glasses sales have been negatively impacted more than sort of bricks and mortar from an industry wide perspective. So we’re very satisfied with sort of e-commerce sort of performance for Warby Parker, and expect that sort of just to sort of grow from here going forward in 2023 and beyond.
Dave Gilboa: And to support the demand that we expect to see in December and to help stoke that demand a little bit as we typically do. We do ramp marketing spend in Q4, and so in Q3 of this year marketing spend, as a percent of revenue came in at roughly 10%. And we've talked about seeing marketing spend as a percent of revenue, normalize in the low double digits. And I would expect us to see an elevated marketing spend within the range of 100 to 200 basis points, as we head into Q4 to make sure that we're doing everything we can to capture those holiday orders and FSA orders.
Dana Telsey: Right. And then just one just quick follow up. As you think about the number of new store openings and how you think about it for next year. Should we assume it will be similar to this year or do you see foresee any change?
Neil Blumenthal: It's safe to assume that will be similar to this year.
Dana Telsey: Thank you.
Operator: Thank you -- and for closing remarks.
Neil Blumenthal: Great. Thank you all for joining our call today. We look forward to keeping you posted on progress heading into the holiday season and year-end. Thanks again for participating and all of your thoughtful questions and we'll see you in March.
Operator: Thank you everyone for joining today's call. You may now disconnect your lines and have a lovely day.